John Liviakis - Liviakis Financial Communications: Hello and welcome to the Aemetis Third Quarter 2014 Business Update Conference Call. I am John Liviakis of Liviakis Financial Communications and would like to read the following disclaimer statement. Before we begin the presentation by Aemetis, this conference call will contain forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. Forward-looking statements involve risks and uncertainties. A number of factors could cause actual future results to differ materially from historical results or from those expressed or implied by such forward-looking statements, including those identified in our filings with the SEC. Such forward-looking statements are based on our best estimates of future results, performance or achievements, based on current conditions and our most recent results. We do not undertake to publicly update or revise our forward-looking statements even if future changes make it apparent that any projected results will not be realized. I would now like to introduce Eric McAfee, the Founder, Chairman and CEO of Aemetis, Incorporated.
Eric McAfee - Founder, Chairman and Chief Executive Officer: Thank you, John and we welcome our shareholders and financial markets professionals to today’s Aemetis third quarter 2014 business update conference call. This is Eric McAfee, the Chairman and Chief Executive Officer of Aemetis, based in Cupertino, California. With us on the call today is Todd Waltz, Chief Financial Officer of Aemetis; Andy Foster, President of the Aemetis Advanced Fuels business in the U.S. and Sanjeev Gupta, Executive Vice President and Managing Director of the Aemetis international businesses. Our last Business Update Conference Call was on August 5 shortly after Aemetis listed on NASDAQ. Many of the participants in today’s call may be new investors or financial market professionals that were not familiar with Aemetis prior to the recent NASDAQ listing. For those newer investors and observers, I suggest visiting the Aemetis website to review our previous Business Update calls and also downloading the Aemetis Corporate Presentation that is available from the Aemetis website home page. Aemetis has traded as a public company since December 2007 and was listed on NASDAQ in June 2014. We have been a publicly reporting SEC regulated company for more than 6 years. Since listing on NASDAQ in June 2014, Aemetis has delivered strong financial and operational performance keeping pace with the other successful first generation biofuels producers and easily outperforming many of the advanced biofuels companies in the public markets. As a NASDAQ company, Aemetis has generated consistently strong positive cash flow from operations and rapidly repay debt, while raising low-cost subordinated debt from international investors through the EB-5 program in the last few months. During the last four quarters, Aemetis has generated $220 million of revenues from biofuels and bio-products, produced $39.4 million of adjusted EBITDA from operations, and made $32 million of principal interest and fee payments to reduce debt. In addition, Aemetis now has $21 million of escrow to EB-5 funding at an interest rate of only 3% per year and with no principal payments due for more than 4 years that we expect will be applied to debt repayment during Q4 2014 and in 2015. Aemetis has about $55 million of senior secured debt outstanding to Third Eye Capital of Toronto, Canada, including fees due upon full repayment. Third Eye has funded Aemetis with debt financing since 2008 and has been a supportive and strategic financing source that enabled the Aemetis to complete the construction of our India plant in 2008 during the global financial crisis, lease and upgrade the 60 million gallon capacity California ethanol plant during the aftermath of the financial crisis, acquire the California plant in 2012 for equity dilution of only 11% of our common stock paid to the selling plant owners. And then fund the upgrade of the California plant in early 2013 to become the first corn ethanol plant approved to produce EPA approved advanced biofuels using grain sorghum feedstock, biogas energy and a combined heat and power system. In summary, Third Eye Capital has enabled Aemetis to achieve its goal of minimizing shareholder dilution, while rapidly growing assets, revenues and operating positive cash flow. Though Third Eye has been an exceptional financing source during the rapid growth of Aemetis assets through acquisition and upgrades, Aemetis matured into a NASDAQ listed strongly positive cash flow operating company with 110 million gallons per year of global ethanol, biodiesel, animal feed and specialty chemicals production capacity. Our focus is now on the full repayment of Third Eye Capital and the financing of our growth through lower cost favorable project and corporate financing structures that reflect the collateral value of our production facilities, which originally cost about $165 million to build and upgrade. We are maintaining our expectation of continued rapid debt repayment of our existing senior secured debt through positive operating cash flow, the $21 million of escrowed EB-5 funding and an additional $14 million of low-cost EB-5 debt that is expected to be received into the escrow account from existing investor applications. Let’s discuss the positive Q3 2014 financial results for a moment. During the last four quarters ending September 2014 Aemetis generated $39.4 million of adjusted EBITDA, which is an average of about $10 million per quarter of positive cash flow from operations. During the same four quarters, we paid $2.7 million for capital expenditures generating a net amount of about $36 million of adjusted EBITDA after capital expenditures. As we have discussed in the past and now are completing Aemetis is in the funding process of a $36 million 3% interest debt refinancing with no principal repayments for four years from a source that is unfamiliar to many U.S. investors, the EB-5 job creation program managed by the U.S. Customs and Immigration Service. EB-5 funding is provided by foreign nationals seeking a U.S. green card in order to study or work in the U.S. Each foreign investor provides $500,000 for a project that generates jobs in a high unemployment area in the U.S. in exchange for the immigration benefits under the program. After repaying our senior debt to Third Eye Capital, our quarterly interest costs and fee amortization for debt will fall from the $4.2 million per quarter for our Q3 2014 to only about $250,000 per quarter for EB-5 funding at a 3% interest rate. Our entire interest costs related to our EB-5 debt will be only about $1 million per year, down from $24.5 million of interest and fees paid in fiscal year 2013. This significant reduction in interest and fee amortization increasing – increases earnings per share by about $20 million per year from 2013 to 2015, equal to about $1 per share per year of increased earnings based upon our current 20 million shares outstanding and a net operating loss carry forward to reduce income taxes. As a reminder due to accounting recognition of our acquisitions the original construction cost of our California or India biofuels plants are not reflected on our balance sheet. The build and upgrade cost of the 60 million gallon per year Keyes plant was $145 million or so, not the lower $75 million acquisition valuation shown on Aemetis balance sheet. The Aemetis biodiesel plant in India has 50 million gallons of capacity and would cost $30 million or more to construct in the U.S. Our senior lender continues to be very well cap – collateralized with more than $165 million of real estate and operating production facilities that have generated an average of $10 million per quarter of positive cash flow from last four quarters. With only $55 million of senior debt outstanding to Third Eye Capital, the senior lender is protected by more than $110 million of excess collateral value. In June 2014, Aemetis filed a $100 million S-3 registration that covers a wide range of potential debt or equity offerings without identifying any particular offering. This S-3 filing was approved by the SEC about two weeks ago providing Aemetis the opportunity to raise debt or equity funding on attractive terms that minimized shareholder dilution. We see Aemetis as a combination of the value of our first generation biofuels operations and the opportunity to increase cash flow by implementing advanced technology in our facilities and in joint venture with other owners of first generation biofuels production assets. Unlike many other high-tech companies that are advancing new technologies in biofuels, Aemetis has successfully built or acquired first generation biofuels and biochemicals facilities in order to minimize shareholder dilution by using positive operating cash flow and lower cost of debt financing to acquire, upgrade and operate plants. At the Aemetis plant in California, we have upgraded the facility with a proprietary Clean In Place known as CIP system that allows the plant to operate at very high yields due to extremely low contamination levels. We implemented a corn oil extraction system that was paid off from increased cash flow within 7 months and in mid 2014 added a second corn oil extraction system that is now providing more than $5 million of annual recurring cash flow from corn oil revenues. Recently, Aemetis filed an 8-K with the SEC stating that we are building a 300 ton per day liquid CO2 plant at the California facility. This CO2 facility will compress 220 million pounds of the approximately 360 million pounds of carbon dioxide produced each year by our 60 million gallon ethanol facility into liquid CO2 to be used by beverage and food processing companies for food and coolant applications. The 220 million pounds represents the base production of CO2 by the ethanol plant. Since CO2 production rates rise and fall with the fermentation process that we will have an additional 140 million pounds of carbon dioxide available for future CO2 projects. The cost of the liquid CO2 unit will be about $20 million, including financing costs and design engineering is already in process. We plan to begin production of liquid CO2 by Q1 2016 and current pricing and costs would generate about $10 million per year of increased positive cash flow from the Keyes plant. With about 20 million shares outstanding, Aemetis shares are expected to have about $0.50 per share of increased positive cash flow just from the liquid CO2 plant. We plan to announce other upgrades to the Keyes and the India plant during the next few quarters and the Aemetis presentation on the Aemetis website lists some of the key products that we plan to produce by upgrading the value of the ethanol, distillers’ grain, distillers’ corn oil and CO2 produced by the Aemetis bio-refinery. We also plan to expand production of biodiesel in India after reaching full production of 50 million gallons per year. As expected, about a month ago, the India government announced the elimination of subsidies for diesel in India increasing our margin significantly and opening the India market to biodiesel producers. We maintain our previous expectations of rapid growth in production and revenues in India as a result of this regulatory improvement reaching full production by the end of 2015 or earlier. We caution investors that the India government has expressed full support of the adoption of biodiesel and volumes that are significantly higher than current production capacity in the country, but the India government and business environment is historically slow in enacting policies. We are very pleased with the recent dramatic improvement in the biodiesel margins in India and will continue to execute our plan to achieve full production as soon as possible with the intention of expanding production from 50 million gallons to 100 million gallons thereafter. John, I think we have some investors that have contacted us and would like to ask some questions. Do we have some questions?
Eric McAfee: John, I think we were asked as a first question about the capitalization and source of fundings for our upgrade of the CO2 production facility. So as the callers getting on the line why don’t we answer that general question? Our business currently has a senior debt at the parent company level, but we have not historically used project financing at the subsidiary level as a tool for expanding the business. For example our Clean In Place and corn oil upgrades were all funded through parent company financing and positive operating cash flow. Our current plan on funding our CO2 plant is to utilize project financing that is funded and collateralized solely by the new assets that are acquired in our subsidiary and self amortized from the positive cash flow from the subsidiary. This funding as you can imagine is largely available for low risk or extremely high margin products. And this particular project happens to have both. So we have achieved an ability to finance that subsidiary with a much lower cost of capital and frankly on very attractive terms that will be paid for out of positive cash flow from the subsidiary. John, do we have a second caller?
Operator: Eric, I believe we have Keith on the line. Keith, are you with us?
Unidentified Analyst: Yes. Hi, guys quick question. So right now you are trading at a – I think the debt is a concern to people, because your multiple you are trading like a commodity company, not like a growth company. And it seems like you are implementing some new technologies to make yourselves a growth company. You have indicated the EB-5 will pay down debt. And I think you said this quarter is when you will start to be able release funds from escrow account, is that correct?
Eric McAfee: Yes, we have actually had received $1.5 million from the escrow account. There still remains $21 million in the escrow account. We have about $4 million of that which is let’s call due to be released, so it could easily be released this quarter. The government agency controls the timing on it, but the target would be this quarter.
Unidentified Analyst: Okay. And is there anything you could do to hedge the crush rate that’s out there right now which is helping with your margins?
Eric McAfee: We have a couple of built-in hedges that we operate in the business already. They are not speculative hedges. They for example are the hedge of distillers’ grain and corn. Distillers’ grain is actually sold based upon a discount to the corn prices, corn price goes up that the price of distillers’ grain historically tracks in. So, we have those hedges that are fully in place. Currently, we do not operate speculative hedges which would for example go into the market and bet that gasoline prices and ethanol prices would somehow tract with each other. The primary reason we do that is it historically that hedge operates wonderfully until you actually need it. And then when it goes bad, it goes bad in a big way. And so we have seen some biofuels companies that in the name of being conservative have actually set themselves after some very large losses in our hedged portfolio and so we believe that actually increases risk rather than decreasing risk. So our strategy as a growth company is to have a sustainable higher-margin through patented technologies that are implemented at our facility and if not patented then proprietary. So our CIP system gives us much higher uptime and much higher yield as we produce more ethanol per gallon than others in the industry. That is a proprietary technology, unique to our business. It gives us additional cost – additional cash flow per gallon. And you can see just looking at the number of gallons per a bushel or the number dollars per gallon of cash flow that we exceed others in the industry on that measure and that’s because of our proprietary technology. And that strategy we intend to continue to execute against as we grow, you will see more and more stable cash flows from a – for example a liquid CO2 plant, our corn oil plant and other technologies, which we have to announce in the future that are much less correlated with commodity pricing and actually in some cases are actually completely uncorrelated with our feedstock pricing.
John Liviakis: Great. Thank you, Keith.
Operator: Gentlemen, we also have (Steve Ferris) on the line. Steve, you have the floor.
John Liviakis: Hi, Steve.
Steve Ferris: Hi, Eric. Thanks. Congratulations on a good quarter.
Eric McAfee: Thanks, Steve.
Steve Ferris: You had mentioned the S-3 that closed 2 weeks ago, would you plan on using some of that $100 million in some type of financing in Q4 if something became favorable and if so would that be used to pay off Third Eye Capital or increase production in India? And I will give you the floor.
Eric McAfee: Yes. Q4 is absolutely a target for us to use the S-3 approval as a tool for us to be able to decrease our current outstanding debt to Third Eye Capital. Our intention of course is to dramatically reduce our interest and fee cost in our senior debt and also reduce the covenants and other operating conditions. So, we can increasingly self-fund our growth initiatives from positive cash flow that we retained in the company as equity for our growth. The best new equity of course is positive operating cash flow and we are generating a significant amount of positive operating cash flow. We have averaged $10 million per quarter for the last four quarters. Though we do expect volatility, when you have that amount of essentially new equity available for growth, this company can grow very rapidly, but we have postponed that growth in order to reduce the cost and the covenant burden of our existing senior debt, which I think is a strategy that is completely endorsed by our shareholders. I think we are doing exactly the appropriate risk reduction first and then using our excess cash flow to grow rapidly thereafter.
Steve Ferris: Good. Thanks, Eric.
Eric McAfee: Thank you, Steve.
John Liviakis: Thank you, Steve. Any final questions, Melanie? Eric, while we are waiting, could you please touch upon just a quick comment on the – I get the question often about the EPA and the macro outlook for mandated numbers on ethanol blending ratios?
Eric McAfee: Yes. The EPA under the Renewable Fuel Standard adopted in 2005 expanded in 2007 has two criteria under which it can determine whether it can reduce the annual mandate below what Congress and the President signed into law, specifically in December 2007 and the Renewable Fuel Standard of course was intended to provide investors with a guaranteed market for their products such that the investors would produce, invest in the production of biofuels products and have a growing market for a 15-year cycle from 2007 to 2022. For the first time, the corn ethanol mandate in 2014 had a proposed number from the EPA that was lower than the 14.4 billion gallons that federal law mandates and the EPA in providing a proposed number below 14.4 stated that they intended to apply a theory of a 10% blend of biofuels, specifically ethanol with gasoline in the U.S. And so they projected that in 2014, there would be approximately 130 billion gallons of gasoline consumed in the U.S., they multiply that times 10% and they propose the number in late 2013 of 13.0 billion gallons, not 14.4 billion gallons. In the ensuing one year, there has been a high level of focus on the methodology that the EPA was proposing, because their underlying methodology stated that it was a lack of fuel distribution capacity through it’s retail gas stations in the U.S., basically a lack of pumps was their rationale for reducing the amount of biofuels to be consumed in the U.S. Unfortunately for the EPA in 2005 when the legislation was originally proposed there were three conditions. One was adequate production capacity. Second was severe economic harm. And the third condition was the lack of distribution, a lack of gas station pumps. And both the Senate and the House versions of the Renewable Fuel Standard had that condition. And it was removed before Congress approved the legislation. And it was signed by the president without the condition that gas stations had to have sufficient blending in place. So why is that significant, it’s significant because the EPA will after a cycle of litigation almost certainly have to actually enforce the law and the purpose is to maintain the contract with investors such that investors know that when you produce biofuels that the Renewable Fuel Standards will allow you to sell them through gas gasoline stations in the U.S. So unfortunately we are not sitting at November 12, 2014, and the EPA has not come out with the 2014 mandate. And we are almost done with the year. So we now have this issue again for the year 2015. Surprisingly it would have been about a month and a half the United States has by federal law a 15 billion gallon per year mandate for ethanol. But we have a proposed number only 13.0 billion gallons at the 2 billion gallons shortage between the EPA proposed number and the federal law that we believe will be fully enforced. And I think what we are going to find is a rapid increase in demand for biofuels, specifically ethanol in 2015 as this litigation is resolved and that we will very soon thereafter be a 15 billion gallons of ethanol mandated by federal law in the U.S. simply by enforcing the existing regulation, not by any new regulation or ask the Congress or even the White House is will purely be the work of federal judge simply enforcing the law. Now, do you have any other questions?
Operator: I believe that’s it for today guys.
John Liviakis: Okay, quickly…
Eric McAfee: Okay, perfect. Thank you very much. John?
John Liviakis: Yes. Okay, I was just going to quickly have you comment if you would, I know you have to go Eric, but just really quickly based upon that assumption of that blend ratio and based upon the installed base of capacity what would that do to the supply demand equation and therefore price – possible price changes if that is being implemented?
Eric McAfee: We had in early 2014 a similar situation to what would occur here at which the demand for our fuel allows us to sell closer to the wholesale price of gasoline. And Aemetis sells in the U.S. at 60 million gallons per year of a product that is comprised about 35% oxygen. So, when you blend it with gasoline, it makes the gasoline burn cleaner thereby allows the gasoline to comply with federal air quality requirements. So, we are a mandated oxygenate that regardless of whether we are in the renewable or not, it’s required in the gasoline blends in the United States for clean air. And then separately, we provided 113 octane since the average octane coming out of U.S. oil refineries is only 84 octane and can’t legally be used in your car. The way that we achieve octane as you see on the pump and achieve higher power from fuel is by blending ethanol to octane. So, my personal opinion is that ethanol which usually in an ordinary market would trade at a premium has an additive is oxygenate and octane boosting additive has been trading at a discount solely because of the supply demand imbalance. So, if you put these probably demand in balance back in balance, where 15 billion gallons of capacity has a domestic market of 15 billion gallons what we see is that our current 1 billion gallons of export is going to be reduced. And that will happen because of the price improvement here in the U.S. So, we can very easily go back to a scenario in which we don’t sell at a premium to gasoline, but we don’t sell at a discount either. And that can improve our margins by as much as $0.50 to $1 a gallon depending on the seasonality and the time in the year.
John Liviakis: Super, I appreciate that. And I know you have to go, but Eric I think you should answer this quick question that was e-mailed to me. It says that somebody says that it sounded to them like because of the registration that we are going to be doing some sort of equity offerings and it’s important that you clarify that, because if I understand correctly, you are not planning to do any dilution demands at all right now. Why don’t you quickly explain that?
Eric McAfee: It is true. With the S-3 filing, we could go out and sell common stock. It is also true that we have had the ability to do that ever since we started the company 8 years ago. And so there is nothing new really for the company in terms of our strategy. This is simply the administrative procedure that gives us the flexibility used to public markets, so that we could for example register warrants that might be issued related to some financing and those warrants could be found free trading. So, we do have the flexibility of using the public markets today that we did not have two weeks ago that does reduce our overall cost of capital, but we maintain our commitment to the minimization of shareholder dilution and the use of our operating positive cash flow to grow the business and we also maintain our commitment to the repayment of Third Eye Capital in full and giving ourselves the financial flexibility results from them.